Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2012 América Móvil Earnings Conference Call. My name is Jocennia and I’ll be your operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. (Operator Instructions) Joining us this morning is Daniel Hajj, Chief Executive Officer; Carlos García Moreno, Chief Financial Officer; Óscar Von Hauske, Chief Operating Officer; Carlos Robles, Telmex Chief Financial Officer. And now I would like to turn the conference over to your host for today, Mr. Daniel Hajj. Please proceed, sir.
Daniel Hajj: Good morning, everybody. Thank you for being in the third quarter financial and operating results. And Carlos García Moreno is going to make a summary of the results.
Carlos García Moreno: Hello. Good morning, everyone. The measures announced in the third quarter by the European Central Bank contributed to a relative stabilization of financial markets and laid the ground for the sustained appreciation of the Mexican peso from its lows in mid-June. In South America, economic growth appeared to recover somewhat in July but promptly drifted lower in the remainder of the quarter as a result of the slowdown in China. In spite of the relatively soft economic environment, we were able to increase by 5.6 million our accesses, 4.1 in mobile, 1.6 million in fixed to finish September with 319 million. Fixed-line RGUs growth, 11.3% from the prior year and mobile access 6%. As of September, we had 256 million wireless subscribers, 30 million landlines, 17 million broadband accesses and 16 million PayTV units. The latter are growing at a 26% annual pace, while broadband accesses are expanding at a rate of nearly 15%. RGUs of our Brazilian operations climbed 24% to 26 million after adding 1.2 million RGUs in the quarter. Brazil is followed by Mexico and Colombia in terms of RGUs with 22.7 million and 3.9 million, respectively. Mexico accounted for approximately one-fourth of our net subscriber additions with 1.1 million, to finish the quarter with 69 million. In Central America, we gained 658,000 subs, in Colombia 587,000 subs and in Brazil 481,000. Our postpaid base expanded rapidly in most countries, growing 41% in Peru, 30% in Guatemala and 17% in Mexico relative to a year earlier quarter. Postpaid net adds totaled 972,000 subs. Our consolidated third quarter revenues were up 4.5% in Mexican peso terms, approximately half the rate posted in the prior quarter because of the appreciation of the peso. At constant exchange rates, our service revenues increased 6.1% practically as fast as they did the prior quarter. They were led by mobile data revenues that increased 35%. They have accelerated in fact. And by PayTV revenues that grows 21%. Fixed line voice revenue were down 7.2% less than the 7.7% decline of the previous quarter while mobile voice revenues remained somewhat higher than a year before. Voice revenues reflect the impact of the reduction of termination rates and long-distance rates in Brazil, and the contract by Telmex to its clients before benefit of the reduction in mobile termination rates enacted in Mexico last year. EBITDA came in at MXN66 billon and was 0.6% higher than the year before in peso terms. EBITDA margin improved slightly sequentially to 34.4%, reflecting an underlying improvement in EBITDA growth at constant exchange rates. At constant exchange rates, EBITDA increased by 2%. The appreciation of the Mexican peso vis-à-vis the dollar and a lot of currencies resulted in a foreign exchange gain of MXN9 billion in the quarter in contrast to the MXN16 billion loss registered prior quarter. This again translated into a comprehensive financing income of the MXN2.4 billion in the quarter. Through September we had a net foreign exchange gain of MXN12 billion. The change in the foreign exchange results explains most of the increase in our net profit, which grow to MXN31 billion, more than doubling those of the previous quarter and surpassing by 67% those of the year earlier quarter. Our net debt stood at MXN363 billion at the end of June, almost unchanged from the prior quarter and was equivalent to 1.4 times EBITDA. Our capital expenditures in the first nine months of the year totaled MXN82 billion and our acquisitions of equity interests, including those in KPN and Telekom Austria, MXN79 billion, while share buybacks and dividends payments amounted to MXN22 billion. These outlays added up to MXN183 billion and were for the most part covered by our funds from operations. We obtained MXN56 billion in the financial market to cover the difference. Again, this is in the year to September. In the third quarter, we began to account for our investment in KPN under the equity method. So with this, I would like to pass it back to the operator, so that we can begin the question-and-answer session. Thank you.
Operator: (Operator Instructions) The first question comes from the line of Vera Rossi from Barclays. Please proceed.
Daniel Hajj: (Inaudible).
Vera Rossi – Barclays: Thank you. Good morning. For the first time since 2010, we saw the EBITDA margins improving on a sequential basis and despite the fact this was a small improvement, do you think we will see a change in the trend that we saw in the previous quarters and going forward we will see margins improving? Thank you.
Daniel Hajj: Hi, Vera. Well one of the biggest accounts for the EBITDA are subsidies and investments that we have been doing in our network. So in terms of subsidies, I think that still we are going to – we’re moving a lot of the 2G phones to smartphones to feature phones. So I still think that the next year and 2014 are going to be really important in terms of subsidies. And in the investments and in the CapEx we have been investing a lot in 2010, 2011 and this year we have been also investing a lot. But I still think and this big investment has been giving us the opportunity to grow a lot on data and you could see that in the ARPUs, okay. But I think for next year is still we have some investment like LTE that we’re planning to do in some countries in Latin America. So I think part of the investment we already do, but still we have some investment that we need to do next year. So that means that still there is a little bit of expenses that we’re going to have in the network and they are going to come the revenues in the future. You could see that all these big investments that we have been doing in 2011, 2010, 2012, have been very profitable. The revenues have been there. Data has been growing a lot. So we feel that the next step on LTE would be also very profitable.
Vera Rossi – Barclays: Okay. Thank you, Daniel. And one question about ARPUs, do you expect your ARPUs in wireless to continue to increase across all countries and should we continue to see an acceleration in this improvement as we saw in Mexico this quarter?
Daniel Hajj: Well I think ARPUs are voice and data, okay. I think in some countries voice has been stabilizing. They have been decreasing a little bit, but to the – we can see that they are stabilizing a little bit right now. And on data we have been growing like around 30%. So – and still a small part of our subscribers has data and smartphone. So I think we still have a lot of work to do on that. So still 2013, 2014, you are going to see changing from 2G phones to smartphones, moving to LTE and having all our customers using a lot more data. And that means that we’re going to have more revenue. Depending also on what you’re going to see on the markets, then competition start in a lot of market, you could see that in Brazil. It’s a big competition. Mexico, Colombia, all around you’re – you could see that there’s a lot of competition. So that also depend on how is competition and what would be the – in the next year, no?
Vera Rossi – Barclays: Okay. Thanks you.
Operator: Your next question comes from the line of Alejandro Gallostra from BBVA. Please proceed.
Alejandro Gallostra – BBVA: Hi. Morning. Thank you much. Could you please explain your strategy in Mexico to compete with television usage cell, especially once they launch work-or-play bundles?
Daniel Hajj: Well, what we have been doing in Mexico, you could see that prices has been going down in mobile 18%, prices has been down 18% year-over-year and minutes has been growing a lot. Telmex has been launching new plans. We have been launch also naked DSL. In minutes so, what we are doing is competing, and I think it’s what you are going see all next year, no? You need to do investment. We are doing the investments in the market. This sector you need to invest a lot. So we’re doing investments. We are doing fiber-to-the-node. We are doing nice, good networks, being very careful on quality. We have been – where we have been especially good on quality. We’re trying to manage quality. In number portability in mobile we have been gaining. So well, you have to do a lot of things to compete and it’s what we are doing in Mexico, no? Special – something special to do for next year, we don’t have. We are going to do exactly what we have been doing the last years.
Alejandro Gallostra – BBVA: All right. And perhaps you could give us an update about the negotiations you’re having with regulators regarding PayTV authorization in Mexico?
Daniel Hajj: Well, in Mexico it’s one of the only countries in the world that doesn’t have convergence and I hope that next year we can have the authorization to do TV. So we have been showing the regulators. We have been talking with them, we have been showing data. So Mexico, it’s I think the only, or one of the only countries in the world...
Carlos García Moreno: The only one in the OCD.
Daniel Hajj: The only one in the OCD that doesn’t have...
Carlos García Moreno: (Inaudible)
Daniel Hajj: Convergence. So I hope that the government could understand and accelerate the authorization for Telmex.
Alejandro Gallostra – BBVA: All right. Excellent. Thank you.
Operator: The next question comes from the line of Michel Morin from Morgan Stanley. Please proceed.
Michel Morin – Morgan Stanley: Good morning. I just wanted to follow-up on the earlier question on ARPU growth. Could you confirm that you’re actually seeing growth in both prepaid and postpaid? And can you help us quantify how much of the ARPU growth is really mix related, given that you’ve been growing faster in postpaid subscribers? And then secondly, I just wanted to touch on your mobile data business in Brazil in particular. I think your release said that you grew 15% year-on-year, but on our estimates it looks like maybe you were down sequentially. So I just wanted to see if that’s correct. And if you could perhaps provide some additional disclosure in terms of how significant data is now for you in Brazil? Thank you.
Daniel Hajj: Well on the ARPUs, first question on the ARPUs. The ARPUs are – in data we’re growing more on postpaid, okay. We have been adding a lot more smartphones on postpaid. We have plans, bundled plans, voice data and all our customers that used to have postpaid plans are adding new data plans in there. So we have been very successful on that. In prepaid we are starting – people at least are starting to add – also starting to use data. They are starting to move from phone to a feature phone and all of those things are gaining us. But we have been doing lot more better in the postpaid segment. There is a lot of prepaid that are moving to postpaid, we have plans, we have data plans, and it’s what the trend in all Latin America we’re having...
Carlos García Moreno: Yeah, I think that as Daniel pointed out, Michel, there’s conflicts with ARPU where data has been growing more rapidly, and obviously they are having a real impact on ARPUs. And data today is still really mostly on the postpaid level. But then again there are countries where prepaid is also growing well because of that. And a case in point is coming from Mexico. As earlier pointed out, the price per minutes in Mexico declined 18% year on year and they were a major catalyst for MOUs to go up. MOUs rose 22%. So in Mexico, you clearly have, for instance, this quarter an increase in ARPU that came solely from voice upon the prepaid side. So I think that, again – I think, structurally, data is going to continue to be important. Today it’s about postpaid and increasingly it’s going to be also about prepaid, but voice still has a lot to deliver on the back of private clients and improvements in capacity earlier investing on.
Daniel Hajj: And the growth of – data growth quarter-on-quarter and year-on-year, so we have been growing quarter-on-quarter and year-on-year. And to-date data represents around 25% of our revenue. So you – there’s very good growth. And still I think there’s – as I told you a few minutes ago, there is still a small segment of our subscribers that are using data. There we have a lot room to work with there.
Michel Morin – Morgan Stanley: Thanks for that. And Daniel just to clarify that 25% number that you just gave, that’s...
Daniel Hajj: It’s only in Brazil, it’s in Brazil. Yeah.
Michel Morin – Morgan Stanley: Okay. So...
Daniel Hajj: Your question was in Brazil, no?
Michel Morin – Morgan Stanley: Correct. So you’re saying in Brazil it’s 25% of – what is that – of mobile service revenues is mobile...
Daniel Hajj: That’s exactly...
Michel Morin – Morgan Stanley: Okay.
Daniel Hajj: 25% of mobile service revenue is data.
Michel Morin – Morgan Stanley: And that was up also sequentially? Okay.
Daniel Hajj: Yes, yes, yes.
Michel Morin – Morgan Stanley: Okay, great. Thank you very much.
Daniel Hajj: Yes.
Carlos García Moreno: (Inaudible).
Operator: Your next question comes from the line of Walter Piecyk from BTIG. Please proceed.
Walter Piecyk – BTIG: Thanks. Good morning, Daniel and Carlos. Just two questions. First on Mexico, can you just give us your kind of updated view on where you think the MTR cuts will be going forward relative to where they’ve been historically? And then just on Brazil, it looks like your churn did pretty well in the quarter, definitely obviously some improvement. The margins look good. Things look like they’ve kind of stabilized a bit for you there. However, it sounds like there might be some incremental pricing in the market, so I wonder if you can give kind of an update on Brazil, specifically in the wireless business not the other businesses, about what you think is going to happen going forward in Brazil and since you’ve – it seems like you’re in a pretty good spot right now? Thanks.
Daniel Hajj: Well, first MTRs in Mexico, I think those interconnections are one of the lowest in OCDM in the world. So last year we have a cost of 70%. So I don’t know if the regulators are still thinking to cut more. Those interconnections I think these big cut hurts a little bit the investments in rural areas, no? Because in the rural areas, the only revenue that you get – there is a lot of people who doesn’t have money to put, so the only revenue that you have the interconnection, the incoming call. So if they think or they are planning to cut more the interconnection then what is going to happen is going to be less investment in those rural areas. Mexico today is only at less than 90% penetration, and it’s behind all the other countries. So I hope they don’t cut more the interconnection. So – and the interconnection today in one of the lowest in – I think it’s the lowest in Latin America, one of the lowest in the world. So it’s around 2.3 cents of a dollar, so it’s really, really cheap. In Brazil I think we have been improving. This quarter we had positive postpaids. We used to have bad, not very good promotions. So that’s why our churn gets up in the last quarters, but I think everything is getting stabilized. We work a lot on the investments, on the CapEx. We’re giving much better quality to our customers. And what we are doing in Brazil is not only one thing. We’re growing in our distribution. We are making better our brand awareness. We are working a lot on data plans. We are working a lot on the quality of the network and customer care centers. We’re putting – in these investments, we are putting fiber-to-the-node. We are integrating our companies there. You are only talking about mobile, but in Embratel and in NET, we are integrating also a lot of things in the network. So we are doing a big, big work there and it’s not going to take us only three months, so we have been working for around one and half years, and I think it’s going to take us another year to integrate everything. But I think we are in a good moment. And well, in Brazil, also there are two important issues that you could see there, first that, we’re having an economic slowdown there. So people is consuming a little bit less, so that’s what you see. The other, the MTR cuts, is hitting us also in the...
Carlos García Moreno: Long distance. Long distance.
Daniel Hajj: They are hitting us on the revenues. The long distance has been really, really tough. In mobile, we don’t have the long distance. We have the number of calls so maybe comparisons are not exactly the same comparisons against our...
Walter Piecyk – BTIG: But Daniel your usage is up very nicely.
Daniel Hajj: Yes.
Walter Piecyk – BTIG: So it looks like it’s a pricing issue. Is it – can we expect any type of stabilization in the pricing so that we won’t see these 15% declines in ARPU?
Daniel Hajj: I don’t know, because it depends a lot on competition. So I hope that the market would be more rational. We can see the last quarter more rational things in the market and I hope that for next year, but – well, I don’t control my competition. So things have been very, very aggressive in the market, maybe so aggressive that that’s why we have been having problems on the quality. We have been going at a – they have been having problems in the quality, and they have been more aggressive on pricing than on investment. So, well, it’s what is happening in Brazil. We are investing a lot of money there. I think we’re preparing for the future and I hope that everything gets more rational, but I cannot tell you exactly what they are going to do. No.
Walter Piecyk – BTIG: Thank you, Daniel.
Daniel Hajj: Thanks.
Operator: Your next question comes from the line of Alex Garcia from Citibank. Please proceed.
Alex Garcia – Citibank: Hi all, thanks for taking the question. Daniel, can you detail a little bit more of what’s behind the weak postpaid net additions in Brazil? Is it the market getting irrational with subsidies? I mean, last year I was double checking, I mean, it was like about 1.8 million net additions in the first nine months and the first nine months of this year has been very, very weak. So I was wondering if you could detail a little bit more. And if and when you guys think you can go back and start capturing more postpaid net additions? That will be my first question. Thank you.
Daniel Hajj: Yes, well, in Brazil, let’s divide prepaid and postpaid. I think first of all, as I told you, the slowdown in Brazil has been – since last year has been passed, okay. So in Brazil, there – what’s that?
Carlos García Moreno: (Inaudible).
Daniel Hajj: Yeah, in Brazil, we need to divide prepaid and postpaid. In prepaid, I think we have been doing good. We have been growing, I think we have been or – even in market share or gaining a little bit on market share. I don’t remember exactly. We have been growing 11% almost 12% in prepaid. In postpaid, we have been having some promotions at the beginning of the year that doesn’t work very well, and that’s what we just correct – we corrected a few months ago. But still we have been having some churn about that, but you could see that this quarter, we have positive in postpaid. So we have been adding good customers. We have been very careful on adding good customers on the postpaid side. It’s excite – so yes, you’re right, in postpaid we have been losing a little bit on market share. In prepaid we have been gaining market share. And I think what we’re correcting in postpaid we are going to see much better growth in the postpaid in the next quarter and in the next year. Okay. I don’t know exactly where does the slowdown in Brazil is going to take, because they are saying that the next year they are going to start to grow a little bit. So I hope that the economy do well and we start to grow, but what we are going to really be checking is the market share. So we need to be growing in market share in the postpaid business, no?
Alex Garcia – Citibank: Okay. Great. And then a second question if I may. Can you share your view on the potential impacts for AMX from all the changes that have been discussed about Anatel in terms of the competition plan? What’s the minimum broadband speeds? And also the discussions that have been – that Anatel wants to implement, the partial Bill & Keep? If you could comment your view on this it would be very good.
Daniel Hajj: Well, on partial Bill & Keep, I think I am against Bill & Keep because the only thing that makes you Bill & Keep is to have like a...
Carlos García Moreno: Bypass.
Daniel Hajj: Bypass this analog this thing. So I don’t agree on the Bill & Keep. We have been telling them what would happen if they have Bill & Keep. Then some calls from mobile to mobile are going to move from mobile to fixed and then to mobile. So it’s going to be a – it’s not good to have those type of regulations, because they are going to allow to do bypasses and all of those things.
Carlos García Moreno: We already had them before.
Daniel Hajj: We already – I think in Brazil, a few years ago, we have it and then they change it because of that. So I hope they don’t put it again. So I think the Minister is hearing a lot and I hope they don’t take that decision. On the – what was your question? The...
Alex Garcia – Citibank: Regarding the minimum speeds for broadband.
Daniel Hajj: Yeah.
Alex Garcia – Citibank: And if that will require more CapEx, how do you see that? I mean, I guess, it’s 6% mainly?
Daniel Hajj: I think we have been having much a better quality in our networks than our competitor. So Anatel – what Anatel is doing is saying, well, you cannot sell at three, the speed of 3-gigs and then give 1, okay. So it what’s they don’t want, okay. So maybe what we’re going do is they do those type of things then nobody is going to advertise the speed that they are going to do. So I don’t think that’s the way to solve these type of issues. What they need to do and what they are saying is that you need to have a minimum quality requirement, and it’s what everybody – you cannot do lowering and lowering the prices. Do unlimited of everything and don’t invest on the networks, okay.
Carlos García Moreno: (Inaudible).
Daniel Hajj: So because then you are going to have to raise your network. And it’s – some of our competitors are doing those type of things. So, that’s what makes Anatel start to think all those type of regulations. But at the end of the day, we have been investing. We have been increasing our quality. We have been having the much – the better speed in Brazil, I think in almost all the places we have in data. So I don’t worry a lot about the quality – focus on quality, because we’re giving much better quality than the other ones, no?
Alex Garcia – Citibank: Okay. Thank you.
Daniel Hajj: Thank you.
Operator: The next question comes from the line of Andrew Campbell from Credit Suisse. Please proceed.
Andy Campbell – Credit Suisse: Okay, thank you. Good morning, Daniel and Carlos. I have two separate questions actually. The first question is just an update on the CapEx budget for this year? Any change in what you think you will spend and any outlook for next year? And the second question is on a point in the press release, where you mentioned the company investing in a couple of soccer teams in Mexico. And if you could just explain how those fit into the overall strategy? Thank you.
Daniel Hajj: Well, on the CapEx, I think we are in our budget this year. We’re going to invest what we just said. We always had close 5%, or less 5%, but we are at there. So we don’t have big changes. The budget for next year, it’s there – it’s going to be MXN10 billion, around MXN10 billion is what we have been saying. The budget for next year we still doesn’t have it. We’re working on that. Maybe we can talk a little bit about in the next conference, but I think it’s going to be around the same as this year. So those are more or less the numbers that we have on CapEx. In terms of the football team, well it’s really a minor investment. We only buy 30% of that and give us – we don’t control. We don’t control. And what give us is the – to...
Carlos García Moreno: (Inaudible).
Daniel Hajj: Give us the right to do by Internet and by other...
Carlos García Moreno: (Inaudible).
Daniel Hajj: (Inaudible) of the content. It’s more or less what we get with that. So it’s a minor investment and give us those rights. And it’s really why we are doing that.
Andy Campbell – Credit Suisse: Okay. I see. Do you think that it makes sense to, I mean, continue to make investments in content related businesses like that? I mean in other areas of sports or perhaps outside of sports as well?
Daniel Hajj: Well we have been doing that for – we have a lot of subscribers in TV, and we have some channels. Óscar can talk a little bit about our channels that we have in Colombia and some content that we are producing. We have DLA also. We’re buying and distribute to all. So it’s more or less in the same strategy that we have. But Óscar, why don’t you talk a little bit about the content that we have in Colombia?
Óscar Von Hauske: Yeah, in Colombia we produce three channels that came with some of the cable companies that we acquire in the past, mainly are focusing on entertainment. And as well we have DLA, there is a streaming video platform to offer to our customers over the top streaming video. So content, we have some business encounters related to complement the content that we distribute from the vendors. And so that complement we’re offering on the PayTV business.
Daniel Hajj: We have been growing very good on PayTV all around, mostly in Brazil, excellent, and in Brazil we have a lot of competition there. So I hope we can do that exactly in Mexico – the same in Mexico, no?
Óscar Von Hauske: Yeah.
Andy Campbell – Credit Suisse: Great. Thank you.
Operator: The next question comes from the line of Maurício Fernandes from Merrill Lynch. Please proceed.
Maurício Fernandes – Merrill Lynch: Thank you. Good morning, everyone. Just want to touch base on the regulatory environment in Colombia. Sorry if this was already discussed, but it seems the government is analyzing the imposition of market share caps and it could also limit América Móvil’s participation in the upcoming spectrum auctions. Just wanted to see if you could, Daniel, Carlos, if you could share some thoughts about what you would expect from these two potential events? Thank you.
Daniel Hajj: Well, I think probably – we’ve been in Colombia since the year 2000 with, let’s say, 5%, 6% market penetration. Today we are above 100% penetration. We have been doing a lot of investments in the technologies. We have been doing investments in coverage. We have been covering a lot. So we have been investing, and we have been executing very well. So today what you are saying is that I don’t think the government – in the first point that you have about putting caps on the market share, I don’t think it was the government. It was some people in the congress that they are saying that, not the government. I think the minister says that it was not a good idea to do some type of – this type of things. So what’s happening, Maurício – what you need is investment in this sector, in this industry, what you need is investments, okay. And to have those investments, the country need to have certainty, to have legal security on those and if you have those things in the country then the investments are going to come. And it’s what I think the government needs to look at, okay. So I’m sure that they are not going to put camps – I’m sure that they are not going to put caps. And in terms of the license, I hope that in Colombia they don’t do a tailor-made regulation for companies that don’t invest or that they want to win market share, because of the regulation and not because of the investment. So, I think if they – what – in my view, what the government should do is that they need to let everybody invest. The government is really excited and they want a lot more broadband in the rural areas, in the main cities. So if they really want that, what they are going – what they should do is to give the opportunity to everybody to invest and to have all those investments in Colombia. So that’s my point of view. And I think that in Colombia we have legal security and certainty, and I’m sure that they are going to let us participate in the auctions for the frequency. Carlos wants to say something.
Carlos Robles: I think when we arrived in Colombia in 2000 we have 10%, less than 10% penetration. Today, we have more than 100% penetration, 105% penetration in Colombia. So that means investments, nothing more than investments. And it’s what the government in all Latin America should look for in all investments. Because data is huge, data is coming very strong, and you need to do a lot of investments to grow data.
Maurício Fernandes – Merrill Lynch: Yeah. And Daniel, if you’ll touch on Colombia. The margin has come down by about 200 basis points and relative to what you did in the second quarter, was there anything specific about that, because net additions in wireless weren’t so high or was there anything specific in the second quarter that drove the margin up too high?
Daniel Hajj: No. I don’t have something, especially if you want I can make – you can talk to Daniela and review, I don’t know, Carlos can...
Carlos García Moreno: Sure. I think that we are growing still very fast in postpaid in Colombia. And as Daniel was saying, we’re moving more to smartphones and that may affect our subscriber rate going a bit higher. If you look at Colombia, year-on-year the postpaid base increased 13.5%. So it’s doing well.
Daniel Hajj: And we’re happy. You could see – don’t see only subscribers. Look for the revenues. Revenues are growing very well in Colombia. There is a lot of people adopting pre – data plans, moving, as Carlos is saying, to smartphones. So we’re happy how things are going in the market in Colombia, no?
Maurício Fernandes – Merrill Lynch: Okay. And if I may, one more question then on consolidated EBITDA margin. We saw slight increase sequentially. That shows some stability and relative to the last few quarters when due to smartphone penetration, PayTV and all MTR cuts in Mexico, we saw margins declining. Is this 34% and change the margin that you would expect América Móvil to continue to have in the foreseeable future, more or less?
Daniel Hajj: It’s really a difficult question because, as we have been doing a lot of investments, but we still need to do more investments next year. The LTE networks are – even that we have been doing a lot of the backbone on the LTE network. We still need to do a lot of investments to that. And what I am saying another big amount of that of the expenses are subsidies. And I think still next year and the next one are going to be the move from feature phones to smartphones or for normal phones to feature phones are still coming next year. So – but I think we’re going to be around those numbers. Remember it’s a little bit of seasonal – next quarter is December, and December is very active on selling concepts as well, but you cannot compare sequentially, but if you compare year-on-year, I think we could do very good, no?
Maurício Fernandes – Merrill Lynch: Okay. Thank you. Sorry for the multiple questions.
Operator: (Operator Instructions) The next question comes from the line of Fernando Ramos from GBM Global. Please proceed.
Fernando Ramos – GBM Global: Good morning, Carlos and Daniel. Thank you for taking my question. In Mexico, we saw an important contraction in EBITDA margin year-over-year, despite a significant improvement in mobile ARPUs. I would like to know whether this is more a result of higher handset subsidies or a result of the margin contraction in fixed line, if you could share with us what the margin for fixed line was during the quarter that would be great. Thanks so much.
Daniel Hajj: First I’m going to talk about the margin in the mobile, in the margin in the mobile. What you could see this year, keep those all interconnection rates that we have – that they – that the government reduced at the last year. So it was a strong reduction, no, in the subsidies. Well, people in Mexico are adopting very fast the data plan. And on the fixed, Carlos can talk a little bit about that.
Carlos Robles: Sure. In the fixed, there were two main reasons, the first one was the reduction for the – our clients over a protocol in adoption pace, and therefore that affected the EBITDA margin. And the second term was the provision that we are making for the pension fund. That increased this year by nearly 30%, and that was basically because last year the markets were not performed as well as we expected. And therefore, we had to increase the provision for the pension fund. Those were the two main factors affecting the EBITDA margin.
Fernando Ramos – GBM Global: And can – could you share with us what the margin was on fixed line. I mean, including this impact on the pension fund?
Carlos Robles: Yes, the margin was around 34%, 33.6% in the (inaudible).
Fernando Ramos – GBM Global: Very well. Thank you so much.
Daniel Hajj: In Mexico, we are doing well. I think in the market we’re doing good. And with these new plans that Telmex is launching, I think it looks very good also, no?
Fernando Ramos – GBM Global: Great. Thank you very much, Daniel.
Operator: The next question comes from the line of Stanley Martinez from Legal & General Investment Management. Please proceed.
Stanley Martinez – Legal & General Investment Management: Thank you and good morning, everyone. I’d just like to follow-up on the LTE questions by asking how we should think about dimensioning some of the LTE effect as you look to launch commercially in Mexico this quarter and possibly in some other markets in 2013 along a couple of different lines. So first in terms of the network investment, can you say how much you have invested already in Mexico in network and in CapEx for LTE? And do you think the peak will be more in the first half or the second half of 2013 on a group level for LTE network investments? And then in terms of subsidies, do you expect that you’re going to increase your handset subsidies across the base if you try to drive that migration from feature phone to smartphone? And then lastly, I would imagine that the LTE effect is going to continue to increase your positive porting ratio. Do you expect that to be more in enterprise or consumer and are the ports that are coming in more profitable than your base of subscribers that are on the network now?
Daniel Hajj: I mean, it’s really a difficult question. But if – you could see we have LTE not only the electronics, okay. It’s a lot on the backbone and on the backbone we have been investing for a long time, so the investment that we have been doing also for 3G helps a lot on the LTE. So it’s very difficult to say how much is this quarter or this month. So we have been investing for, let’s say, more than one year in Fiber to the Node, in more data capacity. So when you bring LTE, it’s – a lot of the investments on LTE we have been already doing, it’s more on the electronic side on the LTE. And I think it’s going to be more or less like 3G. It’s nothing that moves from one month to the other or from one quarter to the other one. I think that handsets on the LTE are a little bit more expensive. So the people are – you’re not going to see a big move from 3G to LTE. But you could see a lot more on tablet, on PC cards and all of those things. I think you could see more people going to LTE on this. In the other side, we’re not going to have the same coverage on LTE than on 3G. So the coverage has been increasing. It’s going to be increasing year-by-year. The handsets in LTE are going to decline also year-by-year. So it’s going to be more or less the same path that when we moved from 2G to 3G, then it’s going to move from 3G to the LTE and...
Carlos Robles: For instance, Stan, we launched 3G in, I think it was February of 2008. And it was something like only 20 cities. And now in four years or five years we now have a coverage of 3G of approximately 90% of the population in Mexico. So it’s basically expanding the footprint gradually. And as Daniel said, the difficult thing has really been less on the electronics and much more on building infrastructure for – to transport the data.
Daniel Hajj: And still a lot of people are moving from 2G to 3G. They’re going to stay. They have some contracts with buyouts. And then they are going to move to LTE. So it’s gradual. Everything that we’re going to do in Latin America, I think it’s going to be gradually.
Stanley Martinez – Legal & General Investment Management: Is your expectation that the uplift as you migrate from 3G to LTE could be, sort of a 10% to 20% premium in terms of ARPU? Just in terms of the additional consumption of data on tablets and dongles? And again, I think this might reflect in terms of the porting ratios, so to my question, do you expect to index better in ports and better in the certain sub sector of the market, maybe in enterprise, as opposed to consumer ports?
Daniel Hajj: Well, we don’t know because we still doesn’t have LTE, but what has happened in other parts of the world, in other countries, looks like people is using 20% or 30% more data with the LTE than if you compare with 3G. So we hope that in Latin America and – in Mexico and Latin America, we could have that increase on usage, okay. So but still we don’t know exactly how much they are. But what we can tell you is that we are not going to increase prices on LTE. It’s going to be exactly the same pricing plan, and if you have more speed, then you are going to use more, and then you are going to consume more. It’s the idea that we have in our pricing, okay.
Stanley Martinez – Legal & General Investment Management: Okay, great. Thanks, Daniel. Thanks, Carlos.
Operator: The next question comes from the line of Dan Kwiatkowski from UBS. Please proceed.
Dan Kwiatkowski – UBS: Hi. I just had a question on Argentina. We saw quite a sharp deterioration in margins, both sequentially and year-over-year. Was there something particular that happened in the quarter or is there something that is sort of more sustainable?
Daniel Hajj: Oh, in Argentina what we have – what you could see is that other than subsidies that we’re moving and cost of the networks. Also we have been – the cost for us have been increasing a little bit more faster than what our revenue is increasing, and it’s more or less what you’re seeing there. We have been growing also in the market, but what we need is to grow more faster our revenue than what’s the cost. We still – the revenue has been growing 13%, 14% and the cost maybe higher, 20%, 22%. So we need to work a lot on cost control, and we need to work a lot on gaining more revenue. It’s more or less what we are focusing and what we want to do in Argentina.
Dan Kwiatkowski – UBS: Thanks very much.
Daniel Hajj: Nothing is different, nothing special.
Dan Kwiatkowski – UBS: Thank you.
Operator: Ladies and gentlemen, we only have time for one more question. And the next question comes from the line of Gregorio Tomassi from Itaú. Please proceed.
Gregorio Tomassi – Itaú: Yes, good morning. Thank you very much. I have a question about Mexico, basically one of the competitors of you in Mexico is claiming that the market needs additional regulatory actions, specifically intervening off-net and on-net prices basically. What are your thoughts about that? And what likelihood do you give to that measure?
Daniel Hajj: Well, as I told you, our view there is that there should not be a tailor-made regulations for some companies. It has to be a regulation that it would be more or less all around the world. It’s more or less the same regulation, and that regulation would give certainly for investments. So I don’t think the government would do or should do tailor-made regulations, so a company would benefit from the investments of the other one. So it’s – that’s my point of view.
Gregorio Tomassi – Itaú: But given the fact that you have already been declared dominant by Cofeco, it opens a window for Cofeco to make – let’s not call it tailor-made, but what I call it asymmetric regulation. That would soften a way to call it tailor-made. But I think that the window is open as far as I understand.
Daniel Hajj: But the asymmetric regulation, tell me, where – in which parts of the world you could see asymmetric regulation? Maybe the asymmetric would be 3% in one country or 2% in the other one, but the asymmetric regulation does not exist in other countries. Of course, they are going to claim a lot but I don’t think that the regulators would do different, no?
Carlos García Moreno: Gregorio, in fact, I will send you a mail. We can even post it in our own site. There is an EU policy paper. There was a recommendation, I think it’s dated May 2009. The sole documentary that the EU published on termination rates and that’s where they are basically asking the regulators within the European Union to base termination rates on the basis of long-term costs. If you look at that, it says that – and this isn’t meant to be the best practices standard and this document says that there should not be asymmetric regulation anywhere except to the extent that there is an event. And then again only for a (inaudible). And in this case the competitor you may be mentioning, we are not aware of this and a new competitor, we don’t believe that any of these would apply. But in – so I will send it to you directly. Again this is EU policy paper on termination rates. That’s the recommendation of the EU, and it’s the standard for policy decision making. The thing to consider as well is that this paper clearly says that asymmetric rates would in the end need to be public subsidizing the inefficiency of the competitor that will be beneficial – the beneficiary of the asymmetric rates.
Daniel Hajj: And only – and we in 18 countries that we operate, in some we have higher market shares. In other ones, we have lower market shares. And in no one, we are asking for asymmetric rates, because we don’t think that’s the solution. The solution is to have good networks, good investments, good quality and that the consumers would choose you, okay. So I think that’s really where you need to be to gain market share not on asymmetric or tailor-made regulations.
Gregorio Tomassi – Itaú: Thank you very much.
Daniel Hajj: Well, if you want, one more question?
Operator: Ladies and gentlemen, I will now turn the call over to Mr. Daniel Hajj for closing remarks.
Daniel Hajj: Okay. Well, thank you everybody for attending the call and thank you. Bye-bye. Bye-bye.